Leslie Garber: Good morning and welcome to the Oil-Dri Corporation of America's 2019 Annual Meeting of Stockholders. My name is Leslie Garber and I'm the Manager of Investor Relations at Oil-Dri. During the meeting, today, we will be covering the election of Directors and two other stockholder voting items. Next will be the presentations and financial review followed by time for Q&A. We ask that you hold your questions until the Q&A portion of the meeting. At that time we will be taking questions from the live audience, phone lines and from our webcast. Now it is my pleasure to introduce our General Counsel and Secretary, Laura Scheland.
Laura Scheland : Good morning ladies and gentlemen. It is 9:30 a.m. on December 11, 2019 and I now -- okay correction 9:26 a.m. on December 11, 2019. And I now call to order the 2019 annual meeting of stockholders of Oil-Dri Corporation of America. While, I conduct the meaning Tony Parker the Assistant Secretary of Oil-Dri will record the meeting -- the minutes for this meaning. As you entered the meeting room, you should have received an agenda and the rules of conduct that will govern the meeting. We ask that you adhere to these rules. Stockholders who previously voted by proxy using the internet, telephone or mail need not cash ballots today unless they wish to change their vote on their proxies. We will provide ballots to those who desire them at the appropriate time. Oil-Dri has appointed Gerry Lane of CT Hagberg LLC to serve as the inspector of elections for this meeting. He is present and has taken the oath of office. Commencing on October 30, 2019 a notice regarding the availability of proxy materials or a copy of the proxy materials was mailed to all Oil-Dri stockholders of record as of the close of business on October 14, 2019, which is the record date fixed by Oil-Dri’s Board of Directors for the termination of stockholders entitled to notice of and to vote at this meeting.  I have an affidavit of mailing signed by Broadridge Financial Solutions Inc. confirming the foregoing and such affidavit is available for examination by any stockholder present here today. As described in the proxy statement, the purpose of this meeting is to elect nine directors, ratify the appointment of Grant Thornton LLP as Oil-Dri’s independent auditor for the fiscal year ending July 31, 2020. Approve an amendment the Oil-Dri Corporation of America 2006 long-term incentive plan and transact such other business as made properly come before this meeting. As of October 14, 2019, the record date for this meeting, there were 5,388,672 shares of Oil-Dri’s common stock and 2,219,468 shares of Oil-Dri’s Class B stocks outstanding. I have an alphabetical list of the holders of such outstanding shares and such list is available for examination by any stockholder present here today. As many of you know, holders of our common stock are entitled to one vote per share, and holders of our Class B stock are entitled to 10 votes per share, and generally vote together without regard to Class. A quorum is present at this meeting, if holders of a majority of our common stock and Class B stock outstanding and entitled to vote are present in person are represented by proxy. Thus the number of votes necessary to constitute a quorum at this meeting is 13,791,677 votes. Mr. Lane has informed me that there are more than session number of votes represented at this meeting. Therefore, I declare that a quorum is present and accordingly, this meeting is properly convened and ready for the transaction of business. As described in the proxy statement, the first item of business is the election of nine directors. The proxy statement listed Oil-Dri’s nominees for director each of whom currently serve as a director of Oil-Dri. The nominees are Daniel S. Jaffee, Ellen-Blair Chube, Paul M. Hindsley, Joseph C. Miller, Michael A. Nemeroff, George C. Roeth, Allan H. Selig, Paul E. Suckow and Lawrence E. Washow. In accordance with Oil-Dri’s, bylaws, stockholders are required to provide advance notice of their intent to nominate candidates for directors. No such notice was received. Therefore I declare the nominations for directors closed. A motion to elect nine directors as described in the proxy statement is now in order.
Unidentified Company Representative: My name is Dave Weiske, I am a stockholder of record. I hereby move that each of Daniel S. Jaffee, Ellen-Blair Chube, Paul M. Hindsley, Joseph C. Miller, Michael A. Nemeroff, George C. Roeth, Allan H. Selig, Paul E. Suckow, Lawrence E. Washow as be elected to directors to serve the 2020 Annual Meeting of Stockholders or until their respective successors are elected and qualified.
Unidentified Company Representative : My name is Bruce Sone and I am a stockholder of record and I second the motion.
Laura Scheland : Are there any questions or comments on this motion? I hereby call the question and declare the polls open to vote on the motion. We will provide ballots to any stockholders who have not previously given their proxy or who desire to change their vote. Please raise your hand if you would like a ballot. Is there any stockholder of record who wishes to vote in person? I now declare the polls closed on this motion. As described in the proxy statement, the second item of business is the ratification of the appointment of Grant Thornton LLP as Oil-Dri’s independent auditors for the fiscal year ending July 31, 2020. Grant Thornton has just completed its six year as Oil-Dri’s independent auditor. The audit committee of the board of directors of Oil-Dri has appointed Grant Thornton to again serve in the role for fiscal year 2020 and has directed that the appointment be submitted for ratification by the stockholders at this meeting.  A motion to ratify Grant Thornton of Oil-Dri’s independent auditor for the fiscal year ending July 31, 2020 is now in order.
Unidentified Company Representative : My name is Michelle [ph] and I'm a stockholder of record. I hereby move that the appointment of Grant Thornton LLP as Oil-Dri’s independent auditor for the fiscal year ending July 31, 2020 be ratified.
Unidentified Company Representative: My name is Bruce Patsey. And I am a Stockholder of record by second the motion.
Laura Scheland : Are there any questions or comments on this motion?  I hereby call the question and declare the polls open to vote on the motion. I now declare the polls closed on this motion. As describing in the company's proxy statement, the third order of business is the approval of an amendment to the Oil-Dri Corporation of America 2006 long-term incentive plan to increase the number of shares of stock authorized for issuance there under. A copy of the proposed amendment was included as Appendix A to the company's proxy statement. A motion to approve the amendment is now in order.
Unidentified Company Representative: My name is Steven Klein and I'm a stockholder of record. I hereby move that the amendment to Oil-Dri Corporation of America 2006 long-term incentive plan be approved.
Unidentified Company Representative: My name is Leslie Stephen Shaw [ph] and I'm a stockholder of record. I second the motion. 
Laura Scheland : Are there any questions or comments on this motion? If not, I hereby call the question and declare the polls open to vote on the motion. I now declare the polls closed on this motion. I will now report the results of the voting at this meeting. As described in the proxy statement, a director may only be elected by a plurality of votes cast. The nine nominees who received the largest number of votes will be elected. Mr. Lane has informed me that the nine candidates nominated by Oil-Dri received the largest number of votes. I therefore find that each of Oil-Dri's nominees for director has been elected as a Director of Oil-Dri, to serve until the 2020 annual meeting of stockholders or until his or her respective successor is elected and qualified. Congratulations to each of you. As described in the proxy statement, an affirmative majority of the votes represented at this meeting is necessary for ratification of the appointment of Grant Thornton as Oil-Dri's independent auditor for the fiscal year ending July 31, 2020. Mr. Lane has informed me that such ratification received more than a majority of the votes represented at this meeting. I therefore fine that the appointment of Grant Thornton as Oil-Dri's independent auditor for the fiscal year ending July 31, 2020, has been ratified. Note that representatives of Grant Thornton are here with us today and will be available after the meeting to answer any appropriate questions. As described in the proxy statement an affirmative majority of the votes represented at this meeting is necessary for approval of an amendment to the Oil-Dri Corporation of America 2006 long-term incentive plan. Mr. Lane has informed me that such proposal received more than a majority of the votes represented at this meeting. I therefore find that the third amendment to the Oil-Dri Corporation of America 2006 long-term incentive plan, a copy of which was included as Appendix A to the company's proxy statement is approved. You have now heard the results of the voting and this completes the business to be conducted at this meeting. Since there are no other matters to come before this meeting, a motion to adjourn is now in order.
Unidentified Company Representative: My name is Curtis Wellborn and I'm a stockholder of record. I hereby move that this meeting be adjourned.
Unidentified Company Representative : My name is Tony Mitchell [ph] and I am a stockholder of record. I second the motion.
Laura Scheland : All in favor the motion of adjournment please signify by saying I. Those opposed please signify by saying no. The motion has been carried. It is now 9:36 a.m. on December 11, 2019, and I hereby declare the meeting adjourn. Thank you all for attending. I'm now happy to introduce Dan Jaffee, our President and Chief Executive Officer. Please note that the business presentation and any other commentary by any Oil-Dri's employees today may contain forward-looking statements of expected future performance. Any such for looking statements are subject to certain risk uncertainties and assumptions that could cause actual results to differ materially. We highlight a number of important risk factors that may affect our performance and our SEC filings, including our annual report for the fiscal year ended July 31, 2019. We urge you to review and consider those factors carefully in evaluating the company's comments and evaluating any investment in Oil-Dri stock. Thank you.
Dan Jaffee : Thank you, Laura. Good morning. I would like to start fiscal 2019 was quite a year. I mean, those of you who followed the company, I'm getting signaled by Leslie. Thank you. All I have to send it forward. There we go. I figured it out. She didn't even have to train me. Those of you followed the company during the year know we had quite a rollercoaster ride in fiscal 2019. We literally started the year August 1st, launching our new ERP system and while we picked the right package and we did a lot of things right as those of you who've been through this yourselves know it never goes as planned. And while they call it a go live, we pretty much went dead. And the whole company had to join in and make things right or not impact our customers. And they did a phenomenal job. And so you've seen on our name tags, we call each other teammates, these are Oil-Dri teammates. Because that's truly what we are, we say at Oil-Dri, winning at Oil-Dri is a team game. So I'd like to start by first recognizing the board because they had a huge hand in this. And I'll ask -- I'll read out the names as from the stand and then please hold your applause till the end. Knowing that Joe Miller and Bud Selig are not here, Ellen-Blair Chube. Thank you, Ellen. Paul M. Hindsley, Michael A. Nemeroff, George Roeth, Paul Suckow, and Larry Washow. Did I forget anyone? No, I did not. So please, a round of applause for the board. Because I had the chance to interact with some investors who are here today and universally, everybody was very impressed with the talent in the Oil-Dri team. And the board deserves a lot of credit. I mean, for years, they've been pushing me to say let's keep upgrading. And every time someone leaves, let's take it as an opportunity to upgrade. Let's bring more training and give our current teammates the experience to up their skills. And so the results you're going to see today and going forward are a direct result of that team's effort. And I'm proud to be the leader of the team. And I would say as my most important job is to put the team together and then help the team put our direction together our strategies, our goals as we move forward. So I always like to recognize the new vice presidents, I'd love to recognize everybody in the room. I think I just did in a general way. But specifically, I'm going to recognize people who are either with the team which are promoted into a new vice-presidential role, or people that weren't even with us a year ago and are now in a vice presidential role for us. So first, I'd like to start with Aaron Christiansen. So Aaron has been with us for what eight years -- no five years now. Is that about right? Four years, there we go. I shouldn't -- I hate to take notes because I’d like to speak extemporaneously, but then I miss some stuff. But we've had some dynamic growth in our consumer area. And for years, let's say for the first 73 years of Oil-Dri's history, our packaging was primarily in rail cars, big bags, 50-40 pound bags, bulk hopper cars, big one time bags. It didn't get to be until we launched lightweight litter and fresh and light and then got into private label lightweight that the majority of our units became sold in jogs, boxes, and the like. And so we needed to have some experience and some skills on someone who could put stuff in high speeds at low costs and small packages. And that really wasn't a skill set we had at Oil-Dri. So we set out to find someone who had some real significant CPG experience like Unilever and Procter. We were lucky to find Aaron. He graduated from Wash U. with a degree in mechanical engineering. He then went to Procter and spent years at Procter on working on such household names as Cascade and for Breeze and Comet. And he's so committed to his job that one of the brands he worked on was Mr. Clean. And he did everything he could to look like Mr. Clean. So that's just how committed Aaron is to his job. And in fact, let's just finish this off. There we go. Mr. Clean, Aaron Christiansen. But he was promoted to VP of all North American manufacturing this year. Under his leadership, our North American operations team has been rebuilt, relocated and refocused. I mean, all the plant managers are either have been moved around or brought in new. And this team is really reinvigorated. Our safety, quality and financial metrics are all headed in the right direction. And we're very, very fortunate to have Aaron on the team. So Aaron, please stand up and be recognized. And not with us today is my brother in law. Let me get through this. Okay, there we go Tom Cofsky. Our family dog, my mom and dad had a dog Daisy. And they had a dog Lily from the same litter their golden retrievers. They're 14.5 years old, if you can imagine. And when my father passed away, Carey and Tom took over the stewardship of Daisy so that she can be reunited with her sister. And they've been doing great and Daisy's not doing so well anymore. But at 14.5, she has lived an amazing life. So Carey and Tom rightly so are with Daisy. This is a tough day for them on that front.  But Tom joined us. He was a chemical engineer at RPI. He had worked at UOP. And he's now been with Oil-Dri for 32 years in a myriad of jobs started out in the ag division and then went manufacturing. And when we went live with JD Oracle, his unique skill set of being able to get very focused, very process oriented really made him invaluable to us. He has always been allowed proponent of processes over people, making sure we have the right disciplines in place. And he really was just ahead of our time we weren't ready and we finally caught up to him with the launch of JD Edwards. So he's doing a phenomenal job as our VP of Global Infrastructure. Sarah Heidkamp is our Vice President of Non-Foods and E-Commerce. And she got her BFA from UIC. She then -- we sponsored her and she did a phenomenal job just recently receiving her MBA from Kelloggs Northwestern School or Kellogg Business School at Northwestern. She has had a great background in consumer packaged goods with Kraft, Meyers, Vitafoods, and she's been with us six years. And we give her a couple of little accounts to cover Walmart and Target and they're in good hands, they’re in great hands. I mean, those are two really tough demanding accounts. And they're very much a data driven fact based selling, they want to the days of just trying to take people out to a ballgame and get their business and the consumer packaged world are long gone. They let data drive decisions. And she really is a Vladimir Horowitz of the data from consumer packaging. I mean, it's Moneyball to the nth degree. So Sarah, please stand up and be recognized. Paula got her BS in Accounting from Iowa Northern -- from Northern Iowa. Is that right? Okay. Here we go. And her MBA in Masters from Leola. She then went on to Arthur Young worked in public accounting and has been with us for 19 years. She was our Assistant Controller before being promoted to Vice President Controller and the thing I love about Laura -- Laura sorry Paula. I love Laura too, but I love everyone. Exactly she leads by example and if she has any flaws that she cares so much about her job that she literally, we have these things called our core values of we care. And the W was work life balance and she literally will forego the life part for the work when the job demands it. And it really demanded at these past 12 to 24 months. And so I'm forever in her debt for stepping up leading her team and we couldn't have a better controller so Paula please stand up and be recognized. Next is Jessica Moskowitz. Jessica got her accounting degree in finance from Indiana. She got her MBA from Kellogg as well. She went to William Blair are two of our board members are and was an analyst at Blair and did a lot of research. She then went to Kraft and rose to the level of Brand Manager working on desserts like Jello [ph] and so forth. And she has been with us only two and a half years. And she has done such a great, great job jumping and leading our consumer products division, I'd say my only complaint is that she's making her predecessor look really bad. And by the way, those of you don't know I was her predecessor. So I was running the consumer division when we came up with lightweight and I really was hesitant to hand it off to anyone, because it truly was my baby. And Jessica has done a phenomenal job taking the baby leading her team. So many of them are here today. And Jessica, please stand up and be recognized. So when we went live, we had the perfect storm not only were we trying to implement a new system, but our business was booming at the same time. So our supply chain was put under a lot of pressure. Getting product to our customers became something that was used to be easy in routine and became very difficult that we saw it was going to keep getting worse going forward. Example, we've always been really one or two at Publix [ph] on their supplier scorecard. They put it up when you walked in their lobby, they have a big screen and it shows who their best suppliers are and Oil-Dri is always one or two lot of their 54 and they do it by size of the company of the 54 suppliers that were being measured. After we went live we dropped to 53 out of 54 if you can believe it, and came painfully clear to all of us we needed a supply chain guru and we were very, very fortunate to find Molly. Let me tell you about Molly. So she got her Industrial Engineering degree from Northwestern. She also worked at Procter for 19 years, went to Kraft for about five years and then they were bought by Mandalay. So she wanted to stay in Chicago so she jumped over to Abbott. She has been with us for all of eight months, and her impact has already been incredible. She's an S&OP Sales and Operating plan guru. We are now drinking out of a fire hose because we're trying to catch up to what she knows and Susan knows and people who've been out in the real world Fleming were big companies. This is how they run their business. I mean, George I'm sure this is how Clorox did it. Well, we used to -- we were very people reliance, which is great, but people get sick, people take vacations, people move on and then you're in big trouble. And so we are rapidly becoming very much forecasting, rolling forecasts and helping to drive our supply chain. We are back number one at Publix, which is very exciting. And you see it in the results our sales are building and our costs are dropping. And so Molly VandenHeuvel, please stand and be recognized. Chief Operating Officer by the way. So at this point in time I’d -- the best part about today's presentation, that's all you're going to hear from me until the Q&A, I want the team to get up in front of you and you will see what great hands we are in. Before I do that, I'll show this video. This is an interesting thing for those of you miss this, this ran nationally on Fox Business Network. And they were looking for people who have used the earth for innovation. And they stumbled across lightweight litter. Then at first, their first entree was to go to Nestle, because they saw the Nestle have this big business. And then they started to realize, wait a minute, there's this other company Oil-Dri that launched two years before they did, and had all sorts of patents around this. So they called me and said, do you have any innovation and that you think would fit our show. They didn't lead the question. And I told them about lightweight litter that how as the U.S. economy or category is adopting it, we're cutting the carbon footprint by up to 40%.  It’s consumers used the product by volume, not by weight. And so it's a win-win-win for everybody except the heavy competition. And just to give you an idea what I'm talking about, and it's sometimes hard for people to conceptualize, but if you took a cubic foot of a box a foot by foot by foot and you poured our competitors product into it, any of the competitor it's going to weight about 70 to 75 pounds, okay, you pour ours and it's going to weigh between 35 and 40 pounds. Same fills, half the weight, more absorbency more porosity. Consumers don't put their tray on a scale, they don't weigh it in. They fill it two or three inches, so they use it by volume, but the fact that it's being sold by weight allowed people to put heavier and heavier density stuff into their boxes and make it look like the consumer was getting more when in reality they were getting less. So we turn the category on its head, we patented the whole thing and now it's all going to be lightweight as we move forward. [Audio-Video Presentation] They produced that whole thing. They did a phenomenal job. So let's go here. So now we're going to move on to operations. Molly, please.
Molly VandenHeuvel: Is my mic on? Here we go. So hello, everyone. Good morning, as it was introduced earlier, I'm Molly VandenHeuvel, the Chief Operating Officer now. And I want to talk to you this morning about our implementation of our sales and operations, planning as is mentioned earlier. So I'll reference it as S&OP, sales and operations planning. So who may have heard of this term before in the industry, this is sometimes thought of just a simple supply and demand, what we're doing with this is actually broader than that. We're actually implementing a process in the industry known for as integrated business planning. And so it really is, as it says here it's a way we are going to integrate of business decisions from end-to-end. So what is it? It's a monthly cycle process, right? It's -- it really puts a lot of rigor forward-looking and allows for one set of numbers, one set of assumptions for all of our business decisions. And it will be the foundation for us for future growth. It's really going to put some more process in place more understanding, more consistency across the board. So, as I said, it's a monthly process, it's forward-looking and it starts with each week has a different focus in a different area that we'll talk about and we review on each month. So, in the first week of the month, is our [indiscernible] review, sorry. I think is my mic coming in and out here. As our portfolio management review, so this is the way that we look at all of our new items to make sure that we have portfolio for future growth in new items. We're making sure that we're on track, on time, within budget and we're finding ways to make sure we continue bringing new items to the industry. The second week of the month is our demand review and this is a full commercial review where we look at starting at a bias skew forecast looking forward 12 to 24 months, to have a better understanding what are we going to sell, where are we going to sell it, where is it going to be from? The output of this is what we call the demand management statement. So then the third week of month we talked about supply. So demand management statement is handed over to the supply group to do an assessment to determine what is the optimal way to deliver this forecast to the business. And in any one of these scenarios, I will talk about it a lot is when you look forward that far in advance and you're looking at a regular basis. It is an opportunity to either leverage potential opportunities very quickly. So you see opportunities early, you can act on them and making sure you leverage them and exploit them as much as possible. And on the flip side it's an opportunity, if you have a gap in your plan, how do you go find actions to be able to close that gap, so in all those areas. So in supply we look for the most optimal way to deliver the forecast and to deliver the demand with looking for opportunities to exploit or gaps to fill. And then the very last week of the month we really roll it all together. We consolidate all of that information into what we call the management business review. We bring in all the input from the other meetings, as well as all of our financial integration to determine whether or not we have a plan that meets our overall goals. And that if we have any gaps we have plans on how to close those gaps. It's a one set of numbers, one set of assumptions, all of our decisions are documented and communicate across the board. And we have clear plans coming from each of those meetings to determine what the next steps we're going to take within the business. Okay. So that is a highlight of the S&OP, and what the process looks like. Okay, so why S&OP and why now? So really S&OP is a perfect time for us. So anytime that you are looking to make major changes in the organization are continue to grow the business, take it to the next level like we are you really have to focus on three areas for implementation for change management and that's people, processes and tools. So Dan talked about people, right? There has been a lot of really great changes coming. We've got really great people that we've leveraged for very, very long time. There's a lot of great things going on with people. So S&OP is that leverage in the process arena. So that is where as I talked about, it is the way we're going to make our integrated business decisions we’re looking forward what's the process, we leverage to do that. And then last but not least is tools. We talked about we’ve spend a lot implementing JDE, it's a great tool. It's been -- we've got some good use from it, but we really want to make sure we exploit it and we leverage it to its full extent. And the S&OP process goes hand in hand with that to really leverage all of those. So we've got those three areas focused on. So what are some of the benefits expected with S&OP? So the first is really integrated plan visibility. So one maybe analogy in the S&OP process is a GPS system. So, you say where is it that you want to go, you punch it into the GPS and it gives you the detailed directions on how to get there. And as we're looking at the GPS, you always know here's my endpoint in mind right, but there is these turns and exits and jigs and jags along the way and the S&OP process is the one that keep us on track for those turns, but also to make sure it's always on the same course for the end in mind. And so that's probably the analogy there. The second one is its very forward looking in the 12 to 24-month horizon. So again back to that analogy if you’re driving forward somewhere you don't want to spend a lot of time looking in the rearview mirror, we really want to make sure we're looking forward and seeing what’s ahead. You glance in the rearview mirror because you want to know where you have been, but you have a valid assumptions moving forward, but you really want to make sure you move forward.  Okay, so then what does that do for us? We see forward we have our best estimate of what's going to happen that helps us anticipate what's going to go on in the business, both the good and the bad. You really need to make sure you're honest with yourself and with your organization what is really going to happen. So you anticipate the good, you leverage to good, you anticipate that the gaps you put plans in place for that. So that's the anticipation. But then we work together. So that's what's really important about this. We have every function represented in this process. And so when we put these actions in place to say what are we going to do we make sure it's all together and it’s in sink.  And then the last one really is to orchestrate it. So we've got clear processing. Here is the steps we’re going to take and we make sure we follow against those steps. So again, it truly is a consensus, it’s a business consensus plan where we're going to go I said to close potential gaps, I should say it too is where to leverage potential opportunities. So it really earlier is better than later. And so it's always better to work through that. So that's a little bit about the S&OP process for implementing here at Oil-Dri. The next thing I want to talk about is after S&OP is an area that I also wanted to talk about supply chain and operations and what is our focused areas and priorities within this group. Now and I think this is for the next coming years. So as you can see I coined it as the four Cs, you can talk about foreseeing something, the four Cs of customer, cost, cash and capability. And we talk about it in this priority order as well. So you can imagine the customer is always the first priority. Not everyone in my organization is in external facing role. So we talk about what’s the customer you’re servicing and how do you make sure you're meeting the needs of your customer, which will meet the needs of the business downstream.  We're also implementing much more rigor and data around customer service metrics. So we are looking at case fill rate, on-time metrics, measuring and I'm happy to say very much improving, as well as other customer service metrics along the way. So we've got a really good focus on the customer at this point. The next one is cost. So once your customer needs are met, we want to make sure we're all looking at costs and finding the best optimal cost for all of our processes and systems. And we've also had a lot of really great focus there. We've got a really broad portfolio of cost savings projects that we're looking at. There's more discipline in the process and I will tell you I'm very happy with the team, a lot of really big thinking. There's a lot of creative ideas in how to optimize costs within our supply chain. And we have a very good press to track against that. And so we're obviously looking at costs in the main areas of logistics and warehousing, purchase price and manufacturing costs. So once costs continue to focus, you also need to focus on cash and the cash conversion cycle. We've really been working that managing our inventory management processes and parameters. We're really optimizing the inventory that we do have making sure it's the best use and making sure our parameters match the capability that we have today.  And then last but not least is capability. So we talked about that before, but you won't get the results and you definitely won’t sustain the results unless you’re really building capability in people and processes. So I’ve talked about S&OP process, but we're also implementing lean manufacturing I should say, focusing more on lean manufacturing, as well as a lot of business system excellence. And we’re also focusing on people along with that and there are a few examples around some demand management that we're making changes to, as well as production, planning, training and system execution.  So that’s the four areas, four focused areas that I've got in supply chain and operations group. And so far I think the results have been good and we continue -- we will continue to move along in that direction. So with that I'd like to hand it off to Mike McPherson, who's our VP of B2B business. I'm sorry, they changed it. So I'd like to hand it off to Jessica Moskowitz.
Jessica Moskowitz : So good morning, everyone. I am Jessica Moskowitz, the VP and General Manager of our Consumer Products Division. And first of all, I want to thank Dan for entrusting me with your baby. I definitely feel like it is my baby now. And I'm excited about all the fun things we have and wouldn't be here without such a strong team. We've been posting strong momentum and strong results and it's all due to the great team that we have and everything I present today is really. So thank you to the team. So today I'm going to talk to you a little bit about our branded portfolio. Our branded litters and accessories continue to be a strong strategic push for us as we're looking to grow the business longer term. And, part of this push is really continuing to evolve our brand and understanding what are the consumer needs and how can we better meet them over time? And a big initiative this past year has been a rebranding effort of our Cat's Pride brand, which culminated in the packaging and rebranding launch on shelf this past May. This project you'll see, our new look up here. And the impetus for this was really thinking about consumers. Consumers are increasingly challenged to make more decisions, lots and lots of decisions in a lot less time. And as we think about their interaction with our brand, we literally have seconds to connect with consumers and influence our decisions. And so, as we look at our packaging, we have to make tough decision, tradeoffs about how we're going to talk to them. And be really laser focused about the communication that we have on pack and in our messaging in general. And so, as we were thinking about our packaging redesign, our logo redesign, we engage consumers, we partner with consumers to make those tough trade-offs, and to talk about the things that really mattered. We also as a team, I look at the packaging and I think of all of the comments and feedback and team conversations that we had about this packaging in each of you kind of had your input into this package design. But I think along the way, we challenged ourselves to say, are we really grabbing our attention at shelf. Some of the folks who have lived with the Cat's Pride brand for such a long time challenged us. Is this really within the equity of what we believe Cat's Pride to be. And then thirdly, I would say is it simple? Is it ultimately going to drive more purchase, people to drive more purchase in cat litter? And we think, yes, we absolutely did. So, the changes were kind of broken into three key buckets. One, I would say, this is kind of a summary of some of the specific changes that we made. I would say one we just wanted to simplify. We have seconds to influence consumers, let's make sure the communication is as simple as possible. Second, we thought a lot about our variety names, making sure that they were as impactful as possible, and increasing differentiation between our better -- what we call our better white jug line and our green jug, our best green jug line. And then thirdly, I would say really trying to connect with consumers on a more emotional level. I think we're starting to do that in terms of infusing some fun into our new logo. And then also increasing their litter for good logo or our marketing messaging, on the packaging as well. In addition to the logo and the new packaging showing up at shelf, this bright new look is definitely radiating throughout our messaging across everything we're doing. So we have a new -- we have a Clear the Shelters partnership. Again, this year where we partnered with Clear the Shelters in August. This is a long -- our long term commitment to helping animals find forever homes and what better partner then this nationwide partnering of thousands of animals with their forever homes. So I'll show you a little clip of Clear the Shelters. And how Cat's Pride messaging came to life within this important program. [Audio-Video Presentation] We also sponsored Cat Week this year. This is our second year to sponsor Cat Week with Ellen DeGeneres. This partnership just makes so much sense. Ellen, really marries her fun, down to earth, very light hearted approach as well as her caring with -- caring for animals. With our Litter for Good program. And so she always has a fun way to bring our brand and brand message to life. So with that, I'll show you a clip from the Ellen Show this year. [Audio-Video Presentation] Last year it was just Gira [ph] and this year they added Gino [ph]. And they are obviously showing us a new usage for cat litter by eating the cat litter. But really a lot of great brand representation for Cat's Pride on Ellen Show. So that's all I have, really excited about all that we have going on the brand and all aspects of our portfolio and excited for much more growth going forward. So, thank you.
Mike McPherson: Yeah. Okay. Today I'm going to spend a few minutes talking about how Oil-Dri is creating value from our unique mineral and the new era of antibiotic free livestock production. Typically when I meet with large producers of poultry, or pork, but look at my business card and say what in the world there is a mining company involved with the livestock industry? What type of technology or science could you bring to our type of business? And the answer to that is this. We have expertise in what you call mineral absorptive technology. That's the ability to take our type of unique minerals and with our scientists. Find ways to modify it. So these minerals add function and remove contaminants from a range of different fluids. Doesn't matter if that fluid is vegetable oil, jet fuel, pickle brine, or increasingly, the fluid that you're finding in intestinal tract of an animal. All of these fluids have contaminants that different companies want to have removed. Our expertise for nearly 80 years has been finding ways to get our materials to remove these contaminants. And that's the role that Oil-Dri has been focusing on. With our investments in R&D in the last several years, we're combining our legacy expertise, material sciences, or adding and augmenting to it expertise in life science.  We merge these two things together, and it has a lot of powerful leverage across several of our businesses. Cat litter, odor control, what causes the odor? Bacteria. Eggs orb used to be used the whole [indiscernible] the whole synthetic pesticides. But increasingly those companies are investing in natural microorganisms to give the same pest control that chemicals used to do. No one really wants to use chemicals anymore. So if you have to be able to hold a microorganism, our type of carriers, the perfect carrier, but you need to understand about living organisms and bacteria. That's the investment in the life sciences. And then lastly, in the area of poultry, and swine and dairy production, when you go antibiotic free, you need to find some alternative to be able to do that that is about managing bacteria. So all of these businesses leverage in our investment in microbiology. So the trend in antibiotics, why has that created an opportunity for Oil-Dri and for our technology? The ban started in 2006 in Europe. It's subsequently spread over the years to other countries that have ban the use of antibiotics that are used to promote growth. Not to treat disease, which is a lesser use of antibiotics, but to make the animal grow faster, grow bigger and weigh more as since the [indiscernible] is just sold by weight the producers make more money. Why we're playing in this space and why we're making investments? It’s very common at poultry company I was with yesterday, said while you are making a pretty sizable investment in microbiology, that’s the reason. The reason is the potential is pretty large. The total market now is at 5.8 billion, this piece is shrinking, the part that’s 2.4, that’s antibiotics that are used in livestock production. Over the years, since 2006, what's been growing more than the reduction in antibiotic usage are alternatives, which Oil-Dri’s technology plays a part. So it's a rapidly growing attractive market. So to understand a little bit about how our technology fits I was talking about that with a shareholder this morning. You have to understand how antibiotics traditionally have been used. So you can understand the value that our minerals play in that application. So, it was pretty simple in the world of livestock production for the past 30 or 40 years. Every ounce of food that is fed to a chicken or a pig contains a low dose of an antibiotic that’s there no matter what, you just feed it to the animal continually when it reaches the end of its productive life it goes into the food supply chain. Everything goes well, no problems. If there is a disease outbreak much like if you were I were sick you have a veterinarian on staff, they diagnosed the illness in the animal and they treat the illness with a therapeutic dose of an antibiotic, the animal lives the rest of its productive live and reach the food supply chain. It's pretty simple. Feed them all antibiotics when they're sick, feed them more antibiotics. When you remove the antibiotic that's where our mineral plays an essential role. Little bit -- again a little bit of background the slide looks busy, but it's easy just to think about. I’ll use chickens as an example, chickens will be walking around a chicken house so pack on the floor. They pick up bacteria. There is bacteria everywhere in livestock production. The bacteria enters the animal, the next thing it does is it attaches to the intestine, colonizes the animal, multiplies, produces more bacteria and when the bacteria get to a certain population they begin to make toxins. It’s actually the toxins not the bacteria that damage the intestine cause the diarrhea, ultimately causes dehydration and the animals die. Same thing that can cause a human to die.  The actual causative agent are the toxins, well, how are you going to produce animals without antibiotics and to be able to control this. Enter Oil-Dri’s unique mineral. A perfect fit for toxin control. What we have unlike typical [indiscernible]. We were gifted with a unique natural blend that was 4 million years ago of sheets of [Indiscernible] but also this other component opal, not the opal the jewelry is made up the different types of opal, these are high-capacity, high surface area clusters that when put in the hands of our scientist and our manufacturing experts, they can modify the surfaces of these minerals to make them more amenable to bind the small toxins produced by bacteria. And it’s that simple. Took years to develop. So Mark Carper [ph] would say not so simple, but it was simple now to manage the process. By ending our life science experts than look at a little more in depth on the surfaces of our mineral and said I wonder what else it might be doing because the customers that use our product see tremendous benefit that even went beyond what we even understood initially. So they look at the application and they say well not only are these surfaces that you have activated, bind the toxins produced by the bacteria, but actually -- went backwards they've created a surface that bacteria preferentially prefer to attach to instead of attaching to the intestinal wall and if the bacteria don’t attach to the intestinal wall they don't multiply, grow, produced toxins that than damage the animal. So it's a dual effect of our technology. We either bind the bacteria to reduce the stress that that causes on the animal. And if they should go on to grow and produce toxins, we ultimately will chemically bind the toxins and ultimately help alleviate the disease and the loss of productivity in the animal production. Minerals used to control digestive issues and bacterial related diarrhea is not new. It's been used for decades. What is new Oil-Dri has up the game and found the right mineral, the right processing technology, the right amount of research that have greatly enhanced the ability of these minerals to be able to function and antibiotic free. In order for us to take advantage of this opportunity and treat our mineral more like the functional active ingredient that it is that required an investment in our new Richard M. Jaffee Center for Applied Microbiology named after Dr. Dan's farther, in light of the fact he had a strong passion for science, he was part of the first decision we made. And a smaller microbiology lab that we built in our current innovation center, we're very excited about the future of our mineral and livestock production. Customers that use it, see the benefit. We're coming off. Our fourth -- our first quarter where we had record sales of our antibiotic alternative products that are all built around our mineral technology. So thank you and I look forward to any questions at the end of today's meeting.
Susan Kreh: Good morning. Like Jessica, I am very excited to be here this morning. It's actually my first chance to come and talk to you guys at an Annual Meeting. So, pretty excited about that. In fact yesterday was my one year anniversary at Oil-Dri. And that went wickedly quickly honestly. And as I think back on that year, that year was really one that was both challenging and rewarding. And Dan talked at the outset about some of the challenges I think he called it the rollercoaster ride of a new ERP it was probably -- there's probably other words that could describe it too. So you think about a company that goes live on an ERP. And it's one challenge to go from an ERP to a new ERP. But what Oil-Dri did was go from a system of -- a basis of homegrown systems to an ERP. So this is the real first ERP experience for this team. And they really, really worked hard to make it work. So when I got here, it was challenging but I was very, very impressed by the team. And we stand here a year later. And I said, it's rewarding to see how far we've gotten, we've truly moved from survive to thrive. And we're positioned now where our ERP works for us and it serves our customers. I think, Dan, the end of the story you told about the customer scorecard is today we're back up to number one, right? So that story has a good ending. So we're well-positioned to serve our customers and now we're positioned to leverage this technology. So think about the story Molly told about the S&OP and integrated business systems. We're positioned to start driving process and really undermining -- using data to help us make better decisions. So we're really in a great place and that's why it's exciting. So I've got some financial data here. You guys were probably all really excited to hear this part of the presentation. I've got some key financial metrics and it'll show you a decade's worth of history. You will see that Oil-Dri has done well over that decade. But what I'm going to focus on is the most recent first quarter results. And what you're going to see is we knocked it out of the park, it's hard to argue that we didn't when every financial metric is greater than it was a year ago. So we've lived through a challenging period of time and we had talked in previous quarters about the fact that we were seeing momentum. We left the fourth quarter discussion saying we felt momentum was coming in the first quarter and now we're going to see that one was very real. So let's start with first quarter net sales at $71 million, an all-time record for net sales in the quarter. That's pretty good momentum. Volume strong, with 4% year-over-year growth and let me just back up and talk a little bit about this net sales growth. It was in all our businesses. So Jessica talked about strong growth in our retail and wholesale both in lightweight and private label. And Mike just mentioned strong record in animal health, but it was really business to business also saw strength in Bruce's business in the edible oils in the first quarter. So everybody was contributing to this really strong performance.  If we look at net sales per ton. Here we see that grow from last year at $366 to $376 in the first quarter here of fiscal 2020. And there's a couple things there. Not only are we seeing an improved mix in our customers and in our businesses, but we're also seeing the impact of the fact that subsequent to the first quarter of last year, we did take some pricing out to the marketplace to compensate for some of the costs that we were seeing and it stuck.  Here's one we talked about quite a bit internally, gross profit per ton. And you see really nice growth there from $89 to $105 per ton. So that reflects what we just looked at on the last page, the improvement in the net sales per ton. But it also reflects an improvement in our cost position. So last year, freight prices were higher than they are this year because demand was following Hurricane Michael. There was a lot of demand for freight and we were paying higher rates. So it's a tailwind we've got now. In addition to that, during the first quarter of last year, as we were trying to satisfy our customers, we incurred a lot of what I call freight expediting costs. Just trying to ship product to customers to keep their inventory in stock, and that's behind us now as well. Natural gas has been another tailwind for us, it was higher last year than it is this year. And we also ended up paying some customer fines last year that won't be reoccurring. Because as we've talked about our ERP -- our legs are underneath us now and we know how to run it and we know how to serve our customers with it. So all-in-all a good story. Molly talked earlier about her team and their ability to identify cost saving initiatives. And we're starting to see some of that come through as well in manufacturing, So some nice momentum there. So gross profit per ton drives a nice net income per ton. What else would be included in the net income per ton is our SG&A costs and while they're up slightly year-over-year that just reflects the fact that we actually have accrued bonus in the first quarter of this year and we didn't do that last year because of everything else that was going on. It didn't look like we'd be paying one. Earnings per share you see very nice growth year-over-year in the performance of that metric. If we take a look at our share price, it's up over where it was a few years ago. But it really we close the quarter really pretty much flat with where we came into the quarter.  In dividends, this is certainly something our investors in Oil-Dri come to count on. And you'll see that very consistent with our past practice our dividend per share is up one penny in the quarter over a year ago. And as you look back in history, you'll see that'll translate to $0.04 per share across the year very, very consistent. So that's one use of our cash.  Here's a look at some of the other significant cash outlays. And if you look at the left side, that's a decade's worth of cash. And you look at the rate and that's last year. And those pies look pretty similar. There's a little bit more in the recent periods spent on working capital when you look at the slice of the pies. But Molly mentioned during her section with you that they are focusing on optimizing inventories. And in the first quarter we did see that start to come back down. So what happened last year as we were going live with the new ERP, people made the wise decisions to build up safety stocks to make sure that we had enough on hand to serve our customers. So we saw a spike in net working capital, and now it's coming back down. Our cash from operations is adequate to fund all of these the CapEx, the dividend, the R&D that is required to sustain and support our business. So I want to talk to you a little bit about opportunity. This is our outstanding debt. And during the first quarter of fiscal 2020, we paid down $3 million, meaning we only have $3 million of debt left and it's not even long-term anymore. That payment will come up in August and it's considered short-term at this point. In addition to this, we have a $45 million undrawn revolving credit facility. So what does that mean? It means from a financial position, we are really, really well positioned to be able to fund key strategic or other growth initiatives that the company identifies and gets ready to move forward with. So with that, I'd like to turn it back over to Dan to take questions.
Dan Jaffee: Well good, you got a good cross section of our business and got to see why I'm so excited about the future because it's in such great hands with our team. I'd love to open up to Q&A and will circulate a mic just so that the people on the line can hear you. And are we going to be getting questions from.
A - Laura Scheland : We're going to start with three questions from the live audience. Then we're going to turn it over to the phone lines and have them ask three questions then we'll turn it over to the webcast. And we can cycle back if there are additional.
Unidentified Analyst: Yes I'm Terry [ph] I'm a shareholder. I've been a shareholder for a couple of years. Not making money yet, but I kind of impressed from what I'm seeing right a friend here introduced me to the company and I've [Indiscernible]. I came in -- I really came here to understand the company. And I think you filled most of the blanks in during the presentation, but I got one, your material, is that something that’s readily available? Or can you just go out anywhere and dig it up? I mean how common is the clays and things you're using in terms of availability in the world? Is it something you got to hunt for? You just have to find a spot and use it? And what does it mean in California you hit something for a [Indiscernible] Yeah, what does it mean? How common is this the material, patent in California, you're talking about your reserve, what that means? But how common is this material? And how would I recognize it if I am driving around?
Dan Jaffee : So great question. Thank you. The question for those of you who couldn't hear was how common is the material? The material is very pervasive across the United States. But then the question is, how economically viable is it to that mine it? And it's very difficult, very, very difficult. So we have over 40 years of proven reserves in every product line we have. And there have been no new clay plants built in the United States in the last 25, probably 35 years. They've been multiple closure of acquisitions and reductions because the environmental compliance now around building a clay plant is very difficult. So once you're grandfathered in and you have that infrastructure, you can do it. But I don't see any new entrants coming on anytime soon.
Unidentified Analyst: So if I sneak one more in here?
Dan Jaffee : Well, let's move it around and then we'll come back around. Thank you.
Unidentified Analyst: Hi, Dan. My name is Dan Joseph, a longtime shareholder at Oil-Dri. I have two questions. One now and one after the call and questions. First, I want to thank you for combining names and every one of your cat litter products is now called Cat Pride. Used to never remember the name fresh and light and I was always calling it light and fluffy. The question for now is in that video by -- produced by Earth, you show the mining facility, Cat Pride mining facility. One, where is it? My cats Lilly seen and want to know and go there? And second is that calcium bentonite or sodium bentonite? And the other question I'll ask later.
Dan Jaffee : Okay. So that plant that you saw in the drone footage is in Ripley, Mississippi. All of our minerals are generally calcium bentonite. They have other mixes in them untapped. It's called diatomite and it's a blend and none of our minerals are sodium bentonite. So the sodium bentonite swell, ours do not swell. And that's sort of the fundamental difference. So we mine and market calcium bentonite either.
Unidentified Analyst: Thank you, Ethan Star, individual shareholder. And I'd like to just say, it's a pleasure to be affiliated with a company with so many fine people that I met today. And my question is, what will it take to significantly increase B2B sales? Is it a matter of new products, greater distribution or what else?
Dan Jaffee : I'm certainly willing to answer this question. Then you guys can embellish it if you want. I think really ought is, is patients. I think we had a great idea. We had a lot of great science, but we didn't necessarily have the great commercial team put in place to get it out the way it needed to be. We made a fundamental change one a year ago, Fleming Miles [ph] please stand so they can see. Fleming is the President of Amlin International [ph] and he comes to us with a strong background in animal health and most particularly in commercialization and actually taking great ideas and great science and getting them out into the marketplace. It's one thing to have a great product you got to need and demand. And we are hitting the market at the exact perfect time. I mean getting really antibiotics. Antibiotics was a great solution for what they were trying to accomplish, but it is being eliminated from a governmental regulation standpoint. And so now they have to find a new mousetrap. And we believe we have the best non-antibiotic mousetrap, but we certainly have a great one. And so there's at least a $3 billion opportunity out there for us to go after and any sliver of that is going to be a big deal. Now our go-to-market strategy for now is going to be trying to gain a greater share and a smaller geography than a tiny share and the whole world because it's hard to defend multi price, we all know that. So, we're very focused, we're very happy, we have the footprint in China, we're going to make that work for us and we've got some other acquisitions. You saw Mexico, we're very focused, Latin America, we're very focused, Indonesia. So just patients, just hang in there. When you are this long, this would not be a good time to bail out. Anything you guys want to add? 
Laura Scheland : Okay, now we're going to open up the phone lines and take our first question.
Operator: [Operator Instructions] Our first quarter comes from the line of [indiscernible]. Please go ahead. 
Unidentified Analyst: [indiscernible]
Laura Scheland : Can you repeat the question? Ii didn't come out very clearly. 
Unidentified Analyst: [indiscernible]
Dan Jaffee : I will jump in real quick and then Mike you can embellish on me. I mean, look Bob what it takes is these guys are very slow to change one way or the other. So, when they've adopted you they're very slow to move out because they've done their homework, but they're not so quick to change what they're doing either. There's billions of birds or their careers are staked on fractions of penny in the cost of what they are doing. And so really it's not going to be a linear thing. It's going to be pretty much a stair step thing. It's going to be as they're doing tests once they adopt and they decide to roll it out, you go from zero to a big number quickly. But some of them will roll us out. We've talked about it. And if they have multiple facilities maybe one at a time just to get comfortable with it. But in reality what it takes as tests, we're in test in a lot of places, we're not going to disclose what those are. And then as those start happening and succeeding then you'll see big growth. But it's the company are small, so as small as we are, if we were GE than it would look more linear, but we are so small that as any of these opportunities hit, you're going to notice it and it's going to be material, but to call it sustained and whatever I forgot the word you put on it. It's going to be more leaps forward as it happens.
Unidentified Analyst : [indiscernible]
Dan Jaffee : Yes. So as we put on more accounts we will grow. 
Laura Scheland : We're ready for the next question on the telephone lines. 
Operator: [Operator Instructions]
Laura Scheland : No questions. Yes, we'll come back.
Dan Jaffee : Okay, good. I know Dan we’re open to Dan, there he is you have one more question.
Laura Scheland : But there is a… is there one on the phone line.
Operator: No questions.
Laura Scheland : No questions. We need to -- why don't you ask your second question.
Unidentified Analyst: Yes. I get my question preempted here. You're walking all over my second question and I really without getting an answer. Animal health, it looks like there a whole big huge feel covers a lot of territory. You're basically a clay company and I am impressed a clay company, that's basically a mining companies that’s gotten off and doing things like animal health. But beyond just laying the stuff on the floor and keeping bacteria you’re your presentation was inside of a chicken. I don't see clay? What’s the mechanism somebody along the way mentioned edible oil. So I didn't hear that in the presentation on medical. Just what are we doing, is that more clay or is that a whole new field that are going into to actually get stuff…
Dan Jaffee : Yes, no it's play and it's put in the animal feed itself. And look, the fact that we're all here tells you that the clay is doing something. When the Caveman came out of cave with diarrhea, he didn't run over to the Walgreens and picked up antibiotics. But I'm serious, so look at all the other plan it's in the Galaxy. They don't sustain life because whatever's on it the mix of the oxygen and the plan wherever there is not -- it doesn't have the ability to sustain life Earth does. So the fact that this product works doesn't surprise me at all, it would stun me if it didn't because we wouldn't be here if it didn't work. 
Unidentified Analyst: So you're really making something like [Indiscernible] visible.
Dan Jaffee : Well, not really, but we're just doing it analogy. [Multiple Speaker]
Unidentified Analyst: Now you're getting it inside of the animal is by coming up with some sort of a thing they eat…
Dan Jaffee : In the food. 
Unidentified Analyst: In the food. 
Dan Jaffee : It’s blended into their food. 
Unidentified Analyst: So that’s kind of well away from clay, it could be any number of things that are in there, but there could be, okay.
Dan Jaffee : We've done the science our clay is fundamental to the success of what goes on and we got. 
Unidentified Analyst: I am impress with the technology and direction that's all going to have a lot of potential and keep going.
Dan Jaffee : Okay, so Dan wanted to question.
Unidentified Analyst: Hello, again Dan, this is Dan Joseph, once again. Concerning marketing I saw that clip of the Ellen DeGeneres Show. But many people who have cats are at work like all your staff and don’t watch day time TV. However, they do probably listen to music on the radio getting ready for work in particular classical music. And best classical radio station is right here in Chicago WFMT and many, many, many of their listeners own cats. So I were to add Oil-Dri is a local Chicago company I would suggest you give a try on the early morning program to see what kind of response at one time I own the bike store and we promoted delivery of bicycles on Christmas Eve. And it was very, very successful this is 30 years ago. And it might be successful also in promoting cat litter, but you must also indicate on the advertisement where one could buy it. I know opposite Joel is one place, but are known for the other places. The other thing is you indicated you are commute around Southshore and Northern Illinois Commuter Transportation District. And I don't know if they have inside letter of to commuters and maybe I'd like to read about the president and CEO of the company that uses to train free advertising. 
Dan Jaffee : Thank you trust me. Our team does a great job of trying to figure out where to get our message and how to get it to them. If you do want to hear us on the radio the last Saturday now of every month we're on the 10:30 old time radio show and we've been sponsoring that and we give away a year supply of cat litter. And we get a great reaction because WGN at night reaches 42 different states. So it's -- so we're on the radio. But thank you. I think I am going to call to an end I really appreciate to everyone.
Laura Scheland : We have one question from the web, which we’ll take. It is from John Bair from Ascend Wealth Advisors. He says great quarter, great outlook congrats to all. I wonder if you have had any thoughts or discussions to have John Holden do a follow-up segment focused on Oil-Dri’s significant efforts in the animal health market. And do the chickens really prefer the strawberry flavored powder as shown in the slides just kidding, he says.
Dan Jaffee : John, thank you and yes that's a great question. And if they are interested we would certainly want to participate. So we'll keep that under advisement.
Dan Jaffee : Well thank you. I mean we had a great year, a great quarter. We got a lot of momentum going. I always like to tell the investors look you have to make your own decision. You get to buy, sell or hold. And all we can do is try and be transparent with where we're going. Myself personally I've increased my holdings again this year. I think I've done it every year for the last 25 years. So I’m putting my money where my mouth is and you guys just have to decide how you want to go. So thank you for your interest and we will talk to you again on our Investor Teleconference in about three months.